Christoffer Stromback: Good morning, everyone, and welcome to this presentation of Castellum's Q4 report. From our side, it's myself, Christoffer Stromback, acting CFO; and Pal Ahlsen, CEO. There will be a Q&A session in the end of the webcast. [Operator Instructions] So let's start. Please go ahead, Pal.
Pal Ahlsen: Thank you, Christoffer, and thank you to all that are phoning in. I would like to start with saying that I've been here for almost 6 months, and I've got a very warm welcome from all of our staff. I'm very thankful for that. But also from shareholders that have reached out with questions, challenging questions, and also very good advice. And I hope that will continue going forward because that's something that actually makes Castellum better being challenged by our shareholders. So I really appreciate that. And the focus for us the past 6 months has been back to basics, the sort of the new strategy of Castellum. And the focus is crystal clear. Our target is to deliver a 10% return on equity over the business cycle. So that's really been what we've been working on for the past 6 months. It's all about taking away things that are not relevant, that are unnecessary. And it's all about leasing, increasing our -- decreasing our vacancy rate, increasing our occupancy rate. And it's about cost control, reducing our costs, both in administration, but also in our operations. And we have also gone through our portfolio to see which properties are winners that we can keep in the long term and properties that are struggling a bit more, where we either have to change our business plan or we actually have to leave them to someone else who has other ideas or other visions for the future than we have. But that has been really the focus for the past 6 months, and we call that back to basics. So one of the things we've done, which I mentioned was decreasing costs. And unfortunately, we were in a situation where we had a bit of a too big of a costume, which led to staff reduction, unfortunately, during the autumn where 30 people had to leave Castellum and that costed us around SEK 40 million during the fourth quarter. We believe though that the savings will be roughly the same amount going forward due to that action. One of the key things for us is having room to maneuver when it comes to the portfolio, freedom to change the portfolio. Without that freedom or without that room to maneuver, it will practically be impossible for us to reach 10% return on equity. And we had some writings or conditions in our bond agreements, which we addressed in the end of last year. It's called cessation of business, which sort of limited our room to maneuver. So we asked the bondholders if we could change those conditions -- terms and conditions. And most of them agreed to that in December. But that also came in with a cost of roughly SEK 30 million, and that's also something that is in the fourth -- in the report we are talking about today. Property values are down SEK 2.5 billion last year and SEK 1 billion in the fourth quarter. And the main reason for the value changes are changes of expectations of future cash flow, which is mainly due to changes in long-term vacancy and rental prices or rental levels. And in the fourth quarter, SEK 1 billion in value changes, negative value changes with mainly Kista, SEK 0.5 billion. Kista is a small proportion of our portfolio, well known in Sweden, I would say. So it's often written about it in the newspaper, and we have roughly 130,000 square meters in Kista, and it's around 2% of our portfolio, but it's struggling a bit with vacancy. And that's one of the challenges we have within our portfolio. And Finland, we have also changed sort of the expected long-term vacancy, which has led to a reduction in property value of roughly SEK 200 million. Net leasing for the year was negative SEK 140 million. Most of the negative event was actually in the first quarter where net leasing was down SEK 184 million, and that was mainly 2 events. It was Boost in Malmo and the bankruptcy of Northvolt. Since then, the quarters 2, 3 and 4 has actually been positive, but not as positive as the negative events of the first quarter. So net leasing SEK 140 million negative. Many people obviously ask if we can see a turnaround. We obviously hope so, but our focus is leasing, leasing, leasing. Time will tell if there has been a turnaround or not. One of the things we've launched now actually in January is what we call Castellum Business School. We believe that we need to raise the awareness within the company on how to understand the strategy, for example, but also to increase efficiency in the property management, in project management and in leadership and things related to the Castellum business. So we launched the Castellum Business School in January. All staff will get relevant education given their occupation, but also 150 people have been selected to do the Castellum Business School MBA, including calculation, leadership training and so on and so forth. And we believe that, that will be positive contribution to our aim to reach 10% return on equity. And my final point here in the intro is the fact that the Board is proposing share buybacks instead of dividend, and that's in line with our new policy for capital distribution. And we think that is a wise thing to do today when the share price is where it is in relation to the net asset value. We can actually skip -- go to the next slide and just give you a background on Castellum. We are a listed company, obviously. We have property value of roughly SEK 137 billion, where most of it is in major cities in Sweden, Stockholm, Gothenburg and Malmo. But we also have a strong presence in regional cities, growing cities like Orebro, Linkoping and Vasteras. And we have a portfolio also in Helsinki in Finland, roughly SEK 6 billion and SEK 5 billion in Copenhagen. And then we have a pretty significant stake in a Norwegian company, office company listed where we have almost 38% of the shares, 5.3 million square meters and a yearly contracted rent of SEK 9.3 billion and high sustainability focus. Christoffer?
Christoffer Stromback: Yes. Thank you. So summarizing the full year 2025 and comparing it with the same period last year, it is negatively affected by mainly divestments and higher vacancies that is shown in sort of all of the results figures on this page. In addition to that, and as Pal mentioned, negative value changes of the properties, SEK 2.5 billion for the full year and SEK 1.1 billion for the fourth quarter, minus 1.8% for the full year. This all summarizing gives a return on equity of 1.2%, which, of course, is much lower than our target of 10%. Net leasing, Pal also mentioned, minus SEK 140 million, very negative one in the first quarter and then 3 quarters after that positive ones in the fourth quarter, plus SEK 26 million. Occupancy fairly stable, 89.8%, roughly the same as last quarter. And we have, during the year, invested quite a lot, SEK 4.4 billion, a combination of investing in our properties is going to make most of it. And then in addition to that, we also made some acquisitions during 2025. Pal mentioned a few one-offs. We have a couple of one-offs in Q4 isolated, both positive ones and negative ones, and we will try to go through all of them during this call. So looking at it in more detail. In the like-for-like portfolio, income increased by SEK 26 million, that is 0.3%. Index contributed with SEK 140 million, but it's offset by higher vacancies of SEK 190 million. Then we have one of the first one-offs, which is SEK 58 million one-off relating to a reversal of accrued annuity for the Northvolt. That's a difficult one. We took the full net leasing -- negative net leasing in Q1. But then now in Q4, we sort of concluded the final parts of the rental agreement with the bankruptcy estate. And then we had no cash effect, but an accrued one that we reversed during Q4. So that was a positive SEK 58 million in Q4. Direct property costs like-for-like increased by SEK 58 million corresponding to 2.7%. We have a mild winter. Now we're talking Q4, not what we have seen after Q4, but in Q4, mild winter. The cost for heating and snow removal was actually decreased compared to last year. But then we have -- and that was offset by some higher rental losses. And we also during Q4 isolated took a couple of larger wasted projects or projects that we are not expecting to go through anymore. So one-offs of that one recorded under maintenance in Q4. Central administration and property administration in total increased by SEK 54 million. And here, we have another one-off, Pal Mentioned it. Approximately SEK 40 million of those SEK 54 million is one-off relating to the staff reduction and head office reorganization. We can go to the next slide, please. So looking at the leasing renegotiations of SEK 279 million, that is 11% of the total leased stock up for renegotiation, fairly the same rent as before, a decrease of 0.1%, so very flat. But as I said, quite low volume of the total stock up for renegotiation. And the very large -- bulk of it, 62% or SEK 1.6 billion is actually just prolonged at the same terms as before, that is something I think is very much worth mentioning. Net leasing, we have been talking about already. And here, you also have the figures in the graph up to the right, showing that, as mentioned, a very big part of it was a negative one in Q1 and the very big part of that was the Northvolt bankruptcy. And then we have 3 positive quarters, not big figures, of course, but at least positive. Property values, we have been through most of the figures already actually, so SEK 1.1 billion down in Q4. Stockholm stands for SEK 0.9 billion of that and Finland SEK 0.2 billion. And as Pal mentioned, of the Stockholm SEK 0.9 billion down, SEK 0.5 billion is related to Kista. Valuation yield fairly flat, 1 bps up from last quarter, 5.64%, fairly stable. I think we take the next slide out. Looking at the financial highlights and our funding situation. Overall, the funding markets where we are present, i.e., the banking market, the SEK bond market, the Eurobond market as well as the hybrid market are all very favorable at the moment, I would say. So very good market conditions, credit margins at good levels and very much liquidity in all of the markets. Current spreads in the domestic or SEK market is some 80 bps for 3-year money; some 110, 150 for 5-year money. Banks offer us typically 5-year money, 110 to 130 bps, also at good levels, good volumes. I would say that most of them are -- maybe all of them would like to increase their positions. So that's very good. And during Q4 isolated, we did not actually do that many funding actions. We made one bond, SEK 1 billion, 122 bps, 5.25 years, bought back some bonds at the same time. And then as Pal mentioned earlier, we made this constant solicitation. Overall, we got the results that we were expecting. So that's good. Average interest rate, 3.1%, stable compared to last year, actually down a little bit since the year before, and we see potential for actually reducing this a little bit going forward. Also on the financing side, we have a couple of one-offs. Together, they are approximately SEK 50 million. And as Pal mentioned, SEK 30 million of them are connected to this consent solicitation. And then we have an additional lease, approximately SEK 20 million for refinancing and early redemption, both coupled to loans and bonds. Quite large one-offs in the financial items as well. And on this slide, we have our financial key ratios. Very stable, I would say, small changes compared to last quarter. Loan-to-value of 36.5%, ICR 3.2%. Good headroom to our policy. We have LTV policy of 40%, ICR policy of 3x. So good headroom there. At the beginning of this year, S&P confirmed our BBB flat with stable outlook about what has happened on the rating side. Debt maturities still stable, 4.3 years. We are quite happy with our funding situation and our key ratios. And I hand over to you, Pal.
Pal Ahlsen: Yes. One of the things which we are very good at, I would say, in Castellum, and it's the reduction of energy consumption within our properties. So last year, we actually reduced the energy consumption in our portfolio with almost 7%. And that's one of the things I really like about Castellum is this key focus on reducing costs for energy, but then also from a sustainability perspective. So that's something to be very proud of. 58% of our portfolio is sustainability certified, and we actually have 24% of our electricity generated. So a high level of sustainability within Castellum, something to be proud of.
Christoffer Stromback: [Operator Instructions] And the first question comes from Jan Ihrfelt, Kepler.
Jan Ihrfelt: Actually, I have 4 of them. And I'll start with the sentiment on the rental market, office market. Have you seen any change in Q1 compared to Q4?
Pal Ahlsen: Reluctant to speculate, and it's very early actually in the quarter to say anything about that. When I speak with the staff in the offices, I can say they still say that it's a challenging market. So our only focus is to do whatever we can to reduce vacancy.
Jan Ihrfelt: Okay. And next question, you had a net letting figure for the full year of minus SEK 140 million. And I'm just a little bit asking about the overhang into 2026. How much of this SEK 140 million has already hit the P&L?
Christoffer Stromback: We actually don't have a specific figure on that one. I mean, typically, there is a lag, as you know. And in this case, it's very much so where we got -- a big portion, as you know, in Q1 was in Northvolt and we have actually paid rent for the full year 2025. Not all of the volume, but quite a lot of it, and that is coming in with full effect into '26, but we don't have that figure.
Jan Ihrfelt: No, exactly. Okay. And bringing down vacancies 10% and I'm just looking at some kind of time frame here. When -- at what point in time would you get down to 5%? Have you any time frame there?
Pal Ahlsen: That's an impossible question to answer. And it's -- we are not doing that type of forecast. But as -- I think I mentioned that in the Q3 report, but we know that it will probably be a bit worse before it becomes better in relating to the previous question. But we are not making any forecast when it comes to vacancy ratios.
Jan Ihrfelt: Okay. And my last question regards the one-off, the SEK 40 million. And where is it recorded? Is it all in central administration? Or is it split to some other lines?
Christoffer Stromback: It's a split between central administration and property administration.
Jan Ihrfelt: Yes. And the ratio there between them?
Christoffer Stromback: I don't have that ratio actually. I can come back on that. And the next question, Lars Norrby, SEB.
Lars Norrby: Part of your Back to Basics strategy is to "divest noncore assets." So far, since you assumed the role as CEO, Pal, you haven't done that much. I think there was some SEK 300 million completed in Q4 and you announced through a press release an additional SEK 500 million, which in the context of a portfolio of SEK 137 billion is not that much. And then you also mentioned that you made some changes to your bond terms in the fourth quarter. My first question is, is there anything now holding you back from finding significant divestments?
Pal Ahlsen: No, I wouldn't say so. The transaction market is quite good, I would say. Christoffer mentioned that the market for lending money is very favorable right now. So it's a huge interest actually in making transactions in the property world, and we see -- we have lots of discussion, people reaching out to see to find a deal. But nowadays, if I may, reminiscent of how it was 30 years ago, transactions went much faster than they do today. The due diligence phase in making transactions are so much more due diligence, so to say. So even if I wish that we had a higher pace, that's not how the business works nowadays. But I can assure you that we are doing everything we can to reach this target of a high transactions.
Lars Norrby: Okay. And my second and final question is what is a noncore asset in your portfolio?
Pal Ahlsen: To be quite honest, I never ever used the word core or noncore. So I never said that. Our core assets are the ones we have, I would say. Some of them are perhaps giving a too low rate of return given our expectations of the future. So our core assets are actually commercial real estate in Sweden. It might be hotels, it might be offices, it might be logistics or light warehouses and so on and so forth. So I never actually used the words core or noncore. So we are more, let's say, looking at what we believe that they can give us in return going forward. And those who are helping us in reaching our target, that's our core assets. That's not office, that's not that, that's not this. So that's how we're thinking about that.
Christoffer Stromback: Thank you, Lars. Next question from Nadir at UBS.
Nadir Rahman: I've got a few, and I'll ask them one by one, if that's okay. So firstly, you're saying on your capital distribution, you are now allocating your full distribution to buybacks rather than dividends. And I think, Pal, you mentioned "simple mathematics" in your presentation. So if there is a simple way to split it then, is your thinking that if you're trading at a discount, you then do buybacks. And if you're trading at a premium or closer to that, you're doing dividends? Or is there a more nuanced way that you're looking at this distribution policy going forward? Isn't really that simple?
Pal Ahlsen: I would say it's really that simple, even if you can make it a bit more complicated. But now the discount is quite big, right? It's 32%, 33%, and then you don't have to think about it that much. But once and hopefully, when that gap closes, we have to have a deeper discussion when it's time to switch to dividend from share buyback.
Nadir Rahman: Got it. Okay. And a quick follow-up to that as well. What is your exact execution plan on the buybacks through the year? So I know it's SEK 1.2 billion. It isn't a small proportion of your market cap. So how do you propose you perform the buybacks this year?
Christoffer Stromback: Our thinking is that we should wait until after the AGM. We think that we should adopt the financial results for 2025, i.e., part of that results that we are distributing to our shareholders. So we will wait until AGM and we will come back with details after that.
Nadir Rahman: Okay. Got it. Very clear. My second question is, I won't be using the word core and noncore, as Pal mentioned, but looking at some pain points in the portfolio such as Kista and Finland, where you've taken more substantial write-downs in values and also they have elevated vacancies. What is your thinking on these regions and generally, your focus on trying to become more Sweden-centric. I think that's something you mentioned in your Q3 report?
Pal Ahlsen: More Sweden-centric, I wouldn't write that. I would say, continue -- we are already Swedish centric. So that's not a change, I would say. Well, Kista, it's a small proportion of our portfolio. It's very well known in Sweden. That's why we highlight it. It's struggling. It has been struggling for a long time. We are picking our brains, finding a way to reduce vacancy and make a turnaround in Kista. And I would be quite honest to say that that's not an easy nut to crack, but we are really working on that. Vacancy, 22% in our portfolio, probably in Kista, perhaps more than 30%. So it's a challenging market. But again, a small proportion of our portfolio. And again, we are really picking our brains, trying to figure out how to make a turnaround, at least for our properties in Kista. Finland, yes, it's also a challenging market just as been in Stockholm, Gothenburg and Malmo and Copenhagen and to some extent, also in Oslo. Again, we are also trying there to find ways to reduce vacancy and keeping rent level to minimal just as we do for Kista.
Nadir Rahman: That's very clear. My third question is then moving to a different part of the Nordic region, Entra and your stake there. I think you mentioned that it's a fairly attractive market in Norway at the moment despite the swap rates being slightly higher, inflation is more elevated relative to, let's say, Sweden and Finland. So what is your thinking on the Entra stake going into this year? I know there was an increase in the stake in Q1 last year. So are there any thoughts on this?
Pal Ahlsen: I really like Entra. Entra is a great company. I think Castellum can probably learn quite a bit from Entra. So I appreciate the cooperation we have with Entra. Obviously, it's not an optimum situation. I think where we have the stake we have, Balder has its stake has. It's a low free float for other shareholders. So perhaps it's not the best long-term solution. I don't have any answers to the long-term solution today, not at all. But what one should say is that Entra is performing quite well. So it's not hurting us in any way, having that stake in Entra because it's a good company. They have a nice portfolio, nice management. And so it's not something that is dragging us down, not at all. The contrary, actually.
Nadir Rahman: Okay. Very clear. And my final question is on your recent leasing of the Infinity building in Hagastaden. I know there's been some talk in the press of who the tenant may be, but could you provide some more details potentially on the yields, the rent levels and more generally, the discussions you've been having on letting. Are they with larger tenants and public companies? Or are they increasingly with smaller companies and potentially SMEs?
Pal Ahlsen: Actually, we cannot elaborate at all, regarding. We've sent out the information we can send out, and that's been requested from the tenant. But we will disclose more when they have either used or not used the option to reduce the number of square meters they will have. And then we will provide you with more information. But obviously, we're very happy that Ericsson has selected our building, Infinity. It will be a great building, and I think Ericsson will have a nice time sitting there in Hagastaden in our building.
Nadir Rahman: Okay. Very clear. And just to follow up on the size of maybe the tenants that you're speaking to more generally in the market for lettings. Are they larger tenants and companies? Or do you think that the general size of this company is more skewed to SMEs?
Pal Ahlsen: Our portfolio is a broad pallet of very different type of buildings. We just don't have office. We have other type of buildings as well. So we have everything from very small tenants making components to whatever, industrial. And we have office, small offices and big offices. So we are speaking to a very broad palette of Swedish businesses.
Christoffer Stromback: Next question, [ Adrian ] from Deutsche Bank.
Unknown Analyst: Basically, I had 2 questions. The first one is on the consent solicitation process for your bonds. As you mentioned, you got approval from majority of your bondholders. However, there is still one particular bond, the '29, which actually has even more constraining language compared to the other ones, which hasn't received consent. Hence, I was wondering what you intend to do with this particular bond because I guess the 2026 in any case is due in the very short term?
Christoffer Stromback: Yes. So what we mean when we say that we have better flexibility now is, of course, that we -- the volume outstanding that is having this language is much lower. Should we, in the future some time have transactions on the table, then we will manage that at that point in time.
Unknown Analyst: Okay. So you may, at some point, revisit the content vis-a-vis this bond when you sell the assets?
Christoffer Stromback: Yes, exactly. I mean we will have a look at that, at that point in time.
Unknown Analyst: Okay. And my second question is about the hybrid. I was wondering what and when you intend to do regarding the non-core '26?
Christoffer Stromback: I mean we are -- first of all, we are very happy with our hybrid. It's, as you know, running with 3.125% coupon, which is, of course, very good level. So we are happy about that. And I mean, we like the instrument. We like the levels we have today and do not want to speculate about future actions regarding the hybrid. The next question, Pranava from Barclays.
Pranava Boyidapu: I have a couple of follow-ups on what you just said regarding the consent solicitation. With the '26th and the '29th together, that's roughly 30% of all your bonds outstanding. So clearly, that is not giving you the amount of flexibility that you suggested. So if I could ask what was driving the timing of the consent solicitation that you did last year if you have not lined up any specific action immediately? And the second question is regarding your hybrid. The hybrid language, of course, doesn't have the same kind of constraints, but I was wondering if there's anything that would potentially require consent solicitation as well?
Christoffer Stromback: To the first question, back to the transaction margin and the transaction, it's also that transactions take time. So going into transactions, it's very helpful with better visibility of our situation. So that is probably the answer to the first question. And now we think that we have that flexibility. We -- I mean the results were pretty spot on what we were expecting. So we are happy about that. '26, I mean that's very close. It's coming up now in September, I think it is.
Pranava Boyidapu: And regarding the hybrid?
Christoffer Stromback: Sorry, I didn't get the question?
Pranava Boyidapu: And regarding the hybrids, is there any language in there that would accelerate or impede your future change in portfolio?
Christoffer Stromback: No language in the hybrid what I'm aware of, no. So next question from John at Kempen.
John Vuong: Just on the net letting, are you seeing any differences between geographies and asset classes in terms of terminations as well as leasing?
Pal Ahlsen: I think in general, what one can say is that the market that has been struggling in the downturn that we have been experienced is, first of all, office and in major cities, in bigger cities. And then we have had a softer downturn in regional cities where it has perhaps not been a downturn. So offices in major cities like Stockholm and Gothenburg and Malmo and Copenhagen and Helsinki is struggling a bit more than we can see in regional cities.
John Vuong: And the positive turn in Q3 and Q4, is that skewed to any specific asset class or geography?
Pal Ahlsen: Could you repeat the question?
John Vuong: So that net letting turning positive in Q3 and Q4, is that driven by any specific region or specific asset class?
Pal Ahlsen: No.
John Vuong: Clear. And you mentioned that you're looking into improving the occupancy in more challenging markets. So what ways are you seeing in your first look into that? And is it -- can it be easily solved with, say, CapEx? Or does it even make sense to invest CapEx into these more structurally challenging buildings?
Pal Ahlsen: I think it's very difficult to answer generally what to do. It has to be case by case. In some cases, it makes sense to upgrade the unit and adapt it to the wishes of the tenant. In other cases, it might be giving a discount. In other cases, it's just answering faster than we've done historically. So it's very different and you have to look at on a case by case. But what we've said is that we have to be more flexible. We have to be faster and we have to really listen into what the clients are wishing for so that we can grab the clients that are out there before our competitors grab them.
John Vuong: And just maybe to ask it differently, do you see the CapEx spend in, say, '26, '27 to be higher than '24, '25?
Pal Ahlsen: Reluctant to speculate, but I would say it's probably will be around the same level as this year.
Christoffer Stromback: Next question, Paul May, Barclays.
Paul May: I got 3 questions, 2 are linked, so I'll ask those together. You've obviously mentioned focused on leasing, leasing, leasing. I just wondered what your view is on sort of rental value per square meter, i.e., are you focused purely on reducing vacancy, in which case you'll allow rent concessions, lower rents to come through? Or are you focused on rent per square meter, in which case you'll happily have a higher vacancy holding out for that higher rent. So just to get a sense there. And then linked to that, can you give us some color on where your current portfolio rental income sits versus market rent? If all your tenants left and you relet all of your assets today, would that be at a higher or lower rent than you've currently got in the portfolio, assuming that there were tenants available for that? And then I've got another question, but I'll ask in a second.
Pal Ahlsen: Very good questions. If I may answer the second one first, it's a difficult one, but I appreciate the question. And it would be -- it has to be booked a bit on the speculation side from my side. But I would say that we probably would reach roughly the same level as we have today. If every one of our tenants left, we would have some premises that would be rented on a high level, some on a lower level, but on average, roughly about where we are today. And the first one, could you repeat that one?
Paul May: Yes. It's just looking and thinking how you think about leasing, which is the focus. Is it just reducing vacancy and therefore, you get rent concessions? Or is it we're focused on the rental level in which we live with higher vacancy?
Pal Ahlsen: It's completely dependent on actually the market and sort of the demand in the market. In some markets, you really have to give concessions, lower the rent to get a tenant in order to have cash flow and not having cash flow. But in other markets, it's better to wait because we know that there's demand there, and we write the lease contract over 5 or 7 years, and we don't want to lock in a too low rent level obviously. So again, a boring answer, I understand that, but it's really on case by case, depending actually on the particular building we are looking at, not dependent on the particular market or asset class. It's really on case by case. And that's one of the things we've really been talking about here since back to basics that we really need to have smart thinking about every premises we have within the portfolio.
Paul May: Yes. I mean similar to what we're seeing in other markets. As you say, it's very asset specific, not necessarily market or submarket specific. Just a final one. You mentioned Entra is not hurting, but just looking at their reporting, vacancy has been increasing and its earnings yield is much lower than your earnings yield. So you could argue that capital would be better spent selling Entra and basically buying back your shares. You announced obviously the share buyback today. I just wondered how you think about that and where the comment around Entra is not hurting us, it's benefiting us when actually if you look at the numbers, you could argue the opposite that it would be better to rotate that capital elsewhere?
Pal Ahlsen: I would agree to some extent to what you're saying that we could probably -- if we had the cash, use it wisely as well, not just having it in Entra. Entra is also in the market where demand has fallen a bit compared to as it was before, but not as much perhaps as in Stockholm or Copenhagen. So I was tilting more towards that when I said that Entra is not hurting us at least.
Paul May: Okay. So the underlying market is a bit better positioned than some of your other markets?
Pal Ahlsen: I would say so, yes.
Christoffer Stromback: Next question, [ James ] from Green Street.
Unknown Analyst: You mentioned some one-off costs associated with canceling projects. Would you possibly be able to let me know if the number of projects canceled was higher than usual, maybe what the nature of these projects was? How much CapEx was associated with this? And then maybe how or why you made the decision to cancel these projects?
Christoffer Stromback: I mean that was early stage ones. That is, of course, something that is -- we are always doing sort of going through actually every quarter. But then, of course, sometimes you put it more on a spot, not any specific areas or more business as usual, a little bit higher than usual. Next question, Fredric Cyon, DNB.
Fredric Cyon: I have 2 follow-ups on the transaction market comment you made earlier, Pal, where you alluded to a relatively strong market on the sort of back of cheap financing. So the first one is, are you able to call out any specific segments in your current portfolio, which might be up for sale and where you believe interest would be high in the market? And secondly, looking at the transaction market and the interest and your decision to do share buybacks today, do you believe it is possible to find sort of acquisitions of decent volume or size in the direct market, which are more attractive than your own share at this moment?
Pal Ahlsen: Thank you. I think the transaction market, as I said, it's driven now by a lot of funding being available to low spreads. So that's the main driver. But also, I think there's been a couple of years where companies has not done that many transactions, and that's also driven up demand a bit. They see potential now for restructuring their portfolios. If there are any specific parts of our portfolio, which has extra interest from potential buyers, I can -- no, I can't really say that at this stage, actually. No, we have lots of discussions with people, and it's a broad palette of different types of discussions, I would say. And I have to ask you to repeat the other questions.
Fredric Cyon: Yes, sure. So the second one is on the back of your decision to do share buybacks and the current discount to NAV and the transaction market today, do you believe it is possible to find acquisitions in the direct market, which is -- which are more attractive than your own share?
Christoffer Stromback: Possible, but difficult. Thank you, Fredric, and that was actually the last question for today. So thank you all for listening, and have a great day.